Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Scripps’ First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer period. (Operator Instructions) As a reminder, today’s conference call is being recorded. Today’s conference will be available for digitized replay today at 11 AM and will be made available through May 19. The dial-in number for the replay is 1800-475-6701, access code is 324284. Again, that number is 1800-475-6701, access code 324284. If you are dialing outside of the U.S., the dial-in number is 320-365-3844 and again the access code 324284. I would now like to turn the conference over to our host, Carolyn Micheli. Please go ahead.
Carolyn Micheli - Head, Investor Relations: Thanks, Anna. Good morning everyone and thank you for joining us for this recap of the E.W. Scripps Company’s first quarter results. We are going to start this morning with Rich Boehne, our Chairman, President and CEO. Then Scripps’ CFO and Treasurer, Tim Wesolowski will talk about our first quarter performance. And finally, the Head of our Television division, Brian Lawlor, will address the matters related to the TV business. Then we will open up the lines for your questions. Also in the room are Adam Symson, who is our Chief Digital Officer and Doug Lyons, our Corporate Controller. The Head of our Newspaper Division, Tim Stautberg, is traveling and could not join us today. The commentary you will hear from our executives this morning may contain certain forward-looking statements. Actual results for future periods may differ from those predicted. You can read more about some of the factors that may cause results to differ from what you are about to hear by referring to the Form 10-K and other regulatory filings. You can visit Scripps.com for more information, such as today’s release and financial tables. You also can sign up to receive e-mails any time we disclose financial information and you can listen to an audio replay of this call. The link to the replay will be up there this afternoon and will be available for a week. Now, here is Rich Boehne with some business highlights.
Rich Boehne - Chairman, President and Chief Executive Officer: Thanks, Carolyn. Good morning. Thanks everybody for joining us. You are going to hear in just a moment from Tim Wesolowski who will give you an update on our really very solid good first quarter results. Among other things, Tim is going to hit on the political an retransmission revenue growth in TV and the subscription revenue growth in the newspapers. Then you are going to hear from Brian Lawlor with an update on the SEC approved of our Granite acquisition and details on the Comcast, Time Warner agreement and its impact on us. Before we move on to the numbers, just a reminder that behind the financial results were a couple of thousand talented and committed journalists, who serve our communities and attract loyal and valuable audiences. Many of these journalists in recent weeks as you may have seen were honored with some of the most coveted awards in the news industry. Why does that matter? Well, because our award winning enterprise journalism also is surprised by our communities. We focus on storage with local impacts that drive audience, build brand and create value. These industry awards from Murrow and from DuPont for our work in television and at Newsy and from America’s editors to our newspapers are confirmation of the valuable role we play in the markets across the country. One of the awards by the way included fantastic digital storytelling by the Memphis Commercial Appeal about the final 32 hours in the life of Martin Luther King. From Memphis and for all of us, the story had as much to say about America today as it did about that April Day back in 1968. Our commitment to this high-quality digital storytelling and the systems behind it pay dividends in the first quarter. As Tim will talk about, digital ad revenue and TV markets was strong and in newspapers, the strength of our digital strategy was key to the 6% rise in subscription revenue. It means our audiences are finding news content on digital platforms, that’s worth paying for. In our Television division this quarter, we saw digital sales investment begin to really payoff. In the first quarter, we have hired another 20 sales people across the company. In our TV group, the additional sales people that we have been hiring deserve the majority of the credit to the 17% year-over-year increase in the division. We are really pleased with the results so far of the strategy to invest in sales resources. Also related to our digital strategy is an update on WCPO.com in our membership model. As you know, we have invested in news teams to add premium content designers to upgrade the digital users’ experience and sales resource to sell the heck out of these sites. We launched our paid memberships in February now altering the product as we go collecting consumer feedback making improvements and then moving forward. And now we feel ready to start an aggressive marketing push this summer and we will keep you posted on the continued progress at WCPO and by the way just a reminder if you would like to be a WCPO insider, go to the site and get out your credit card and we would be happy to take your money. The third piece of our digital strategy is the recent acquisition of the digital video news service, Newsy. Our goal this year is to help Newsy expand its business customer partnerships as we also build the Newsy consumer brand. We see lots of upside in expanding Newsy’s national footprint with video news consumers. As part of that strategy, we will start by bringing Newsy’s terrific content to our large existing audiences across all of Scripps’ TV and newspaper markets. And we expect this to be just beginning of Newsy’s consumer reach. And finally, we announced on Monday that the FCC had approved our acquisition of two television stations from Granite. Brian is going to give you more on that deal as well as we said good news related to our retrans revenue. These are all reasons why we decided that a board meeting earlier this week to invest another $100 million in our own performance and strategy through the continued purchase of our own shares in the open market. Now, here is Tim for a summary of the first quarter results.
Tim Wesolowski - Chief Financial Officer and Treasurer: Good morning. The first quarter unfolded pretty much as we expected. Television operating revenues grew more than 5% driven by strong local advertising as well as the expected increase in retransmission revenue and the official start of the 2014 political year. I will get to segment results in a moment, but first, I would like to talk about our first quarter consolidated results. Total revenue was up nearly 3% over first quarter 2013 to $204 million. Our cost and expenses for segment’s shared services and corporate were essentially over the prior year period at $188 million. And we were flat despite continued costs to build out our digital products and revenue streams. Excluding the incremental spend to support our digital strategy costs and expenses decreased 2%. In the first quarter, we reported a loss from operations before income tax of $800,000. That compares to a loss of about $7.5 million in the year ago quarter. Net loss attributable to the company was $600,000 or $0.01 per share compared to $2.7 million or $0.05 per share in the prior year quarter. The tax benefit for 2013 quarter includes a $1.1 million or $0.02 per share in favorable adjustments to our tax reserves. Turning now to the broadcast division, local television revenues rose more – total television revenues rose more than 5% to $102 million. Local TV advertising was up nearly 4%. That increase was a bit offset by a decline in national advertising during the quarter. March really made the quarter for us. The harsh winter in some of our markets in the first six weeks of the year dampened auto sales, retail and home services, but we saw the key categories come back strong in March. Political revenue was $2.7 million, although the first quarter of the political year is generally not gangbusters, we did see some activity from a special congressional election in the Tampa area. Retransmission revenues grew nearly 20% to more than $12 million. As you know, we will be renegotiating retrans this year on more than one-third of our cable households. We expect our retrans revenue to be more than $50 million this year. Brian will give an update in a moment about the recent Comcast announcement to shed some operations to charter as part of its acquisition of Time Warner and how that may affect us. National advertising was soft for much of the quarter although our three NBC stations are $1.7 million in incremental winter Olympics advertising. Keep in mind, we have no Fox stations, so we had no Super Bowl revenue and we had only moderate Olympics opportunity from our three mid-size NBC markets. Digital revenue for the television division rose healthy 17% to about $4.5 million, as Rich mentioned that that increase was driven by the performance of our growing sales teams. I said the fourth quarter was a rollercoaster ride and so was our first quarter except this time most of us needed gloves and a hat to survive the ride. Winter weather put the chill on sales early on with the March fog brought back auto advertising in addition to strong growth and telecommunications, and travel and leisure leading us to meet our revenue expectations. Total segment expenses were up 1% to $81 million primarily because of an increase in employee related costs. Segment profit for TV increased 27% over the first quarter last year to $21 million. Another usual comparison is to look back to the first quarter of 2012 another political year, despite having $2 million less in political revenue, our total broadcast revenue is up $2.5 million and costs are down a $0.5 million leading to an increase in segment profit of $3 million. Our margin improved over 2.5 percentage points over those two years. And now I am turning to the newspaper division, total revenue from newspapers was $99 million, down 1% from the first quarter 2013. And not that we are counting but this is the smallest percentage decline in total revenue we have experienced in 29 quarters. We are pleased to see subscription revenue increased for the third consecutive quarter, again because of the rollout of the subscription bundle and also single copy price increases. Subscription revenue was $32 million, a nice 6% increase over the first quarter of 2013. Advertising and marketing services revenue was about $60 million, down 5.4% and in line with fourth quarter’s decline. Classifieds were down 5%, local advertising was down less than 5%. Preprint and related products were down about 4% and digital revenue was down less than 6% to $6.3 million. Expenses for the newspaper group were nearly $90 million, which is about 4% drop from the prior year quarter. Employee costs were down 8% due to lower employment levels, and newsprint cost declined 11%, mostly due to a drop in price. Segment profit for the first quarter was $8.5 million, that’s up about $2.5 million from the same quarter last year and the margin year-over-year improved about 2.5 points. I would like to now look at our cash position and share repurchase program and then I will turn it over to Brian to update you on our Granite acquisition and the impact on us of the Comcast-Timer Warner deal. At the end of March, our cash on hand was $187 million and we had $200 million of debt. Also in the first quarter we repurchased about 1 million shares for just under $18 million. Of the $100 million the Board of Directors authorized in November 2012 approximately $8 million remains. Many of you I am sure were happy to hear Rich say that this week the Board authorized a new repurchase program, that authorization is for up to $100 million of Class A common shares and expires in December 2016. And now over to Brian.
Brian Lawlor - Senior Vice President, Television: Thanks Tim. First, I would like to update you on our acquisition of the two Granite television stations, as Rich mentioned, the FCC has approved the deal and we expect a smooth path to closing before the end of the second quarter. As you will recall the addition of these two stations extends the Scripps’ reach to 14% of the U.S. population, the Detroit station will create a duopoly with our strong ABC affiliate, WXYZ in Detroit. And the Buffalo station adds to our group of ABC stations, with 11 ABC stations we will remain the largest ABC affiliate group by household reach. Also just a remainder that we are modeling the first 12 months of revenue to the two Granite stations to be about $30 million and segment profits to be about $10 million as we build the foundation for long-term strategies. And by the way, we are still looking. We continue to pursue duopolies while also looking at others to buy. Given the new FCC regulations regarding the unwinding of joint service agreements or JSAs, we will certainly look at stations that come available although many of these are likely to be in smaller markets than what our footprint current reflects. Speaking of those JSAs, I hope you already knew this, but we don’t have any and we are not impacted by the FCC’s new rules around joint service agreements. And now I know you are eager for me to get to the impact of the Comcast-Time Warner agreement on us and we believe we do have good news to share. But first a little background to put this issue in the proper context. What we have told you before is that about a third of the Scripps’ cable households are customers of Comcast and Time Warner. As we have said that works out to be about 4.6 million subs. In addition Time Warner negotiates on behalf of Bright House cable, which has 900,000 households in our markets. I will get back to Bright House in a minute. As most of you know, our retransmission rates for those Comcast and Time Warner households are significantly below market retrans rates. The Time Warner contract expires at the end of 2015, if Comcast acquisition of Time Warner had proceeded as originally announced in February, those 2 million subs could have moved to Comcast contract renewal at the end of 2019. However, last week Comcast announced a deal to divest operations in Comcast and Time Warner markets to Charter communications and the newly established SpinCo. Those markets include Detroit, Indianapolis, Cleveland and Cincinnati. From what we know right now, we believe the impact of that deal is that about 2 million households in those markets will fall under the Scripps Charter agreement, when the Comcast-Time Warner Charter deal closes. So what does that mean for our retransmission revenue, we told you in February that the original Comcast-Time Warner deal would not impact us in 2014 and 2015. We also said that were projecting 2014 retransmission revenue of more than $50 million and for that amount to nearly double in 2015. Based on last week’s announcement, 2 million subs will move to Charter or to SpinCo. Our existing contract with shorter expires in Q4 of this year and we expect these households to fall under new agreements at newly negotiated market rates. The total impact of moving 2 million subs out of the Comcast contract to a Charter contract will depend on the dollar amount of the rates we negotiate with Charter and when the Comcast-Time Warner and Charter deals close. Should the Comcast-Charter agreement close prior to the end of 2015, we would be able to increase our guidance for 2015. We will be able to clarify that when they announce their closing date. Obviously, we are pleased with how the allocation of these cable subs appears to have worked out for Scripps. Now back to those 900,000 Bright House subs, our Bright House contract expires at the end of the December 2015 and we believe those subs will not assume the Comcast contract terms that would mean the Bright House subs would go to market rates beginning in 2016. So as I said when I started, this looks good to us. And now I will let Rich wrap things up.
Rich Boehne - Chairman, President and Chief Executive Officer: Thank you, Brian. It is good and before we take questions while I am being a pitch man, just a reminder. If you want to feel good about the next generation of Americans and get a look at those who will lead this country into the future, be sure and watch the finals of the Scripps National Spelling Bee evening of May 29, live on ESPN. It’s just an incredible event each and every year. And with that we will start and operator we are ready to take questions.
Operator: Okay. Thank you. (Operator Instructions) And our first question is from Alexia Quadrani from JPMorgan. Please go ahead.
Nadia Lovell - JPMorgan: Hi, good morning, this is Nadia on the line for Alexia. I was wondering, can you remind us how many subs are with Charter and how all the current agreement is?
Brian Lawlor: Well. Nadia, it’s Brian. As I just said the current agreement expires at the end of this year. So we will be negotiating that in the next couple of months. We haven’t yet disclosed what our existing Charter footprint is, but as we did mentioned that 2 million subs will be going towards either Charter or two the new SpinCo.
Nadia Lovell - JPMorgan: Okay. That answers my question, I understand the Charter agreement expires at the end of the year, but I am wondering how, if you – do you currently have an agreement with Charter or is it with SNI and if you do currently have one with Charter how long ago was that renegotiated?
Brian Lawlor: Nadia, we do have a current agreement with Charter, it was a three year deal and that will again expire in the next couple of months.
Nadia Lovell - JPMorgan: Got it, okay. So in the quarter newspaper we saw some grave margin expansion within that segment, can you give more color on what drove that, is that sustainable, I know you mentioned some employee cost savings and some newsprint expenses and the likes, but I am wondering if that margin expansion is sustainable in coming quarters?
Tim Wesolowski: I think we it’s as we have said before we had a decline in revenue it was one of the lowest declines we have experienced in a long time and we – Tim Stautberg and his team has been very aggressive in managing costs in the group. We gave out some guidance for the second quarter that revenue and costs would be about flat. So I am sure that Tim and his team will be clamping down on costs for rest of the year.
Rich Boehne: Yes, it’s Rich, in the first quarter non-newsprint cash expenses were down 3.3%. And then coupled with 6 of the 13 markets had flat or better revenue in the first quarter.
Nadia Lovell - JPMorgan: Okay, great. And then any update on your thoughts on political revenue for the year, in the political can you look a little bit light in the quarter?
Brian Lawlor: Nadia, its Brian. We have previously guided that we are looking about $65 million in political for the year. We haven’t changed that guidance. First quarter was actually a little bit better than what we had modeled out. I think Rich mentioned in the script that we had a special election in Tampa that probably added about an extra $1 million, $1.5 million of what we had modeled. So we still look at a very active back half of the year even second quarter will be a slow build.
Nadia Lovell - JPMorgan: And then just lastly staying on the TV side, can you provide us some color on how some of the major categories are doing in the current quarter, I know you said you saw some pick up at the tail end of the quarter, but any color on auto and the likes?
Brian Lawlor: Yes, I think what we said was that in first quarter obviously especially retail services automotive very much effected by weather and they did build into March. I expect that the second quarter will be a build as well. I think we are seeing May pacing better than April and we still have a lot of business to write for June, but it’s our hope that June will continue to build and that will have progression all through the quarter.
Nadia Lovell - JPMorgan: Thank you so much.
Operator: And our next question comes from Michael Kupinski with Noble Financial. Please go ahead.
Michael Kupinski - Noble Financial: Thank you and congratulations on a terrific quarter everyone. In terms of just a couple of questions here digital revenues in television was a little stronger than expected and I know that you launched the WCPO.com that quarter, but I think it would probably be too early to build in expectations for that I would think, anything that would account for the little stronger than expected numbers there?
Rich Boehne: I mean I will let Adam talk, but I do want to say yes, it’s too early to build in expectations with every (indiscernible), go ahead Adam.
Adam Symson: Good morning Michael. The up 17% on the television side is following exactly in line with the strategy we have been participating in adding in more digital resources, sales resources in those markets where we know there is a lot more share that we could take of the advertising market. And so we are beginning to sort of see that effect and we will continue to be aggressive in that way.
Michael Kupinski – Noble Financial: And in terms of you picked up in the stations you also picked up some Spanish language television stations and at that time I think you looked at them as an option, there was very little value assigned to them, what are your thoughts on the strategies and with those stations especially now that it seems you are making more focused acquisition and duopoly markets and things like that?
Brian Lawlor: Hey Michael, it’s Brian. The uniqueness of our Spanish stations is they are all low power. And so after we acquired those as we have said we are looking forward to getting in and better understanding the Hispanic marketplace. But at the same time when the FCC started talking about the spectrum auction and was not able to clarify what the end game would be for low power stations. Unfortunately here we are three years later and we still don’t have much more clarity on what the end game will be for low powers, its possible but low powers will not have a place and that their spectrum could be recaptured. And so we have been hesitant to invest significantly in those stations not the knowing long-term viability of transmitting from them. That said, what we have identified is that Hispanic consumers are very technically savvy as it relates to technology and so we have been trying to build out Spanish language mobile apps to be able to serve the news and information audience. In our local markets where we have separate stations by winning mobile first, trying to capture a brand loyalty and this is part of where we have just built the products that we are in the process of rolling out now, but our game plan there is really if you try and win the mobile audience. And then once we have better clarity on what will happen with our spectrum figure out how we will then extend our brand back onto television.
Michael Kupinski – Noble Financial: Thanks for that. And in terms of the Buffalo station I know that there was a prospect of the Buffalo Bills my potentially relocate. I mean any thoughts on what – can you give us thoughts on how that might impact your station or what the latest is on the Buffalo Bills?
Rich Boehne: Well. I saw they traded their first round pick last night down, but as it relates to Buffalo, obviously on the site two days ago and there has certainly been no announcement. And I think there are some conversation even about relocating a building in new stadium downtown. So I think it would certainly be a travels year if the bills are left to Buffalo. That said, our television station is the preseason home of the bills and we have some of the coaches shows so the association with bills is important to the brand of that television station. But if the bills were to lose Buffalo, it’s really a small part of the economics of what we see and we intend to get in there in the next couple of weeks, take ownership of the station until a market leading news brand that hopefully will include great coverage of the bills and the Sabres.
Michael Kupinski – Noble Financial: And I know that there are some syndication opportunities for some of your programming and I was just wondering where do we stand on that and how would you participate in that where I think you have – I think you joint venture with Time Warner, how would that participation help you and hopefully?
Rich Boehne: So we have three shows that are in daily production everyday. Our partnership and you referred to is probably around right this minute and that’s a partnership with Cox and Raycom. And actually that’s had incredible success in syndication. It is now cleared Monday through Friday and 85% of the country. There was an announcement about two or three weeks ago that the Fox are now clearing it in 10 of their markets with an hour in daytime including in New York. And so there is a lot of real positive growth around that show. In fact, we ourselves are moving them into access in two of our markets because we feel so strongly about that. The second show that is currently being rolled out in syndication is Let’s Ask America that’s our daily game show that we own about 90% of the show. We have had success with that across, I think most of our existing markets and we now have contracted with MGM. MGM is syndicating it for a fall of 2014 launch across the country and we are having some pretty good success with that. So we feel really good about the shows that we have been able to take into syndication so far.
Michael Kupinski – Noble Financial: Okay, thanks. I appreciate and congratulations again.
Rich Boehne: Thanks Mike.
Tim Wesolowski: Thanks.
Operator: And our next question comes from Craig Huber with Huber Research Partners. Please go ahead.
Craig Huber - Huber Research Partners: Yes, I just want to understand better please your cost guidance first. I guess in your TV stations I guess into the second quarter year-over-year costs up 7% to 9%/. I am just curious why the big difference which would happen in the first I guess your TV costs are about flat to up 1%, what else you guys are adding here for costs in the second quarter for TV? Thanks.
Brian Lawlor: Thanks Craig. It’s Brian. There is a couple things. Number one really the biggest driver of our costs right now remains our the reverse retrans that we are paying to the networks as we continue to have so much success in negotiating new contracts. Obviously, we are paying more back to the network and so that’s a big driver of our costs and some of that kicks up in second quarter. In addition to that, we referenced to our digital sales build and we have added some employees as we have added a couple of newscasts on weekends in a few of our markets that didn’t exist a year ago and that started in second quarter last year. And I think the other thing is really a timing thing. We have announced publicly that we are building 4 PM news program that will launch in eight of our markets this September. So, there is some startup cost associated with that. And in addition to that, we are doing the hiring now in second quarter, but we are also still paying those syndicated costs. So, we are kind of hitting it at both sides. The syndicated costs would go away in September when those shows launch, but right now the startup cost as well as the hiring of a national staff and some local staff to support that show are all happening at the same time. So, I think that’s what you are seeing in our guidance for second quarter.
Craig Huber - Huber Research Partners: And just so I understand, Brian, the reverse retrans that kicked up you are seeing in the second quarter or you didn’t see in the first quarter?
Rich Boehne: We did see it in the first quarter. We didn’t have some of the other impacts especially around the news build in the startup costs. So, I think our network costs were up almost 30% and that was first quarter and will be consistent through a lot of this year.
Craig Huber - Huber Research Partners: Yes. Were costs up 30% year-over-year is that what you are saying?
Rich Boehne: Correct, yes, our payments of the networks.
Craig Huber - Huber Research Partners: Okay. And I am sorry the pressure on this a little bit, but it looks like the difference is roughly an extra $4 million to $5 million versus what you spent in the first quarter, we have utilized some seasonality here. What you are saying is excess to hold investment spending with the digital sales stuff, that’s you might $4 million to $5 million of TV costs versus what you have in the first quarter?
Brian Lawlor: Yes, I think that’s about right. And just keep in mind the 4 o’clock news program, the digital sales build, all of these are long-term revenue drivers that we expect will drive margins. So we do look at these into investments that will ultimately have a pretty nice return to our shareholders. And then of course the retrans as you know we share some of that with the network, but we got a heck of a margin on that. So, while our expenses are going up, quite frankly, all three of them are positive areas that should long-term grow the margin of our division.
Craig Huber - Huber Research Partners: Brian, while I still have you, before I ask a couple of newspaper questions. In your second quarter revenue guidance through stations, what are you assuming the advertising, what are the advertising pacings looking like here for the second quarter on a year-over-year basis?
Brian Lawlor: Yes. Again, as I mentioned to Nadia, it’s kind of building. And that’s typical of the second quarter. May is a very strong month at most of our stations. It’s usually one of the second or third highest months of the year. And so I think, April, we had a decent foundation. May is clearly pacing, outpacing April. And I think there are still a lot of points to write for June, but we feel good about the quarter right now.
Craig Huber - Huber Research Partners: And did you think your auto advertising will be up say 5% to 10% in the second quarter, how is that looking?
Brian Lawlor: I don’t know yet. We still have a good bit of auto to write. So we certainly expect it to be positive. We just don’t know. I think one of the things that we have seen in the beginning part of the second quarter, as you know first quarter really had a tough quarter because of the winter. And so we saw initially a pretty good spend, but that’s you warrant moving cars. And so they didn’t have up in the back half because we still spent a lot of time and not got in the return of moving cars. And I think a little of that started to continue to play into second – in the beginning of second quarter, but now we are seeing the bi-pickup. We just saw a Volkswagen ad of 300 grand in Baltimore this week and a couple of other big ads like that. That was in the Baltimore, not just on our station but we are starting to see some heavy upset. We will be feeling pretty optimistic for how second quarter finished in automotive.
Craig Huber - Huber Research Partners: Dry and forge up in newspapers, if I could just ask you why you think you have seen a divergence in our local TV ad revenue of 3.7%, yet national is down 5.5% in the first quarter?
Rich Boehne: Yes. Look I think national is soft across the country. And we are in regular communication with the rev firm and we are soft and it looks like most of the industry is soft our national. I think it has to do with I think the network is soft. There is not a bigger scatter market that’s pushing stuff down. And some of the show was actually in primetime are delivering fairly well for a couple of networks. And so they don’t have big banks of under delivery that they have to carve out their inventory. So they stayed in business a little longer than they have in the past.
Craig Huber - Huber Research Partners: Okay. And then my last question on the newspaper side, your guidance of flat costs from newspapers, why only flat versus it gets down almost 4% here in the first quarter, what’s going on there please?
Rich Boehne: Greg, it’s Rich. Hang on just a second quarter we will try to look underneath that a little bit. One of the factors that’s playing into that, we talked about adding some of the digital sales teams over in the TV side. We have seen some dividends get paid with that. One of the things that’s happening in the second quarter here is that we will continue to see declines in employee compensation and benefits from the headcount reductions that we have got. And we will see some increase in some digital sales expenses and in the newspaper group.
Craig Huber - Huber Research Partners: Are you suggesting much more so than you saw in the first quarter?
Rich Boehne: Yes.
Craig Huber - Huber Research Partners: Okay. Thank you very much.
Tim Wesolowski: As you are not talking in huge dollars by the way Craig either, so the move seems big, but it’s not a lot of dollars either way.
Craig Huber - Huber Research Partners: But it just seem like a big difference, you talk about flat costs in newspapers year-over-year in the second quarter it was down, cash costs down, 4% in the first quarter, all because of this digital extra spend here in 2Q?
Tim Wesolowski: No, there a number of things there and I think bottom line is we will try to do better than that.
Craig Huber - Huber Research Partners: That’s what I want to hear. Thank you.
Operator: Our next question comes from Barry Lucas with Gabelli & Company. Please go ahead.
Barry Lucas - Gabelli & Company: Thank you and good morning. I have got several maybe I will start with following on Craig’s comments. While you did really well in digital sales in television, there was a drop off in print I am just wondering what you could attribute that to?
Rich Boehne: Hi Barry, its Rich, you got a couple of things going on there. You have the tug of classifieds that some of that revenue was tied to really to print classifieds, so you’ll just see weakness in print classifieds, you see the tug on digital as well. Also we saw the difference in markets, larger markets performed better than smaller markets. But the good news was over on the other side, we really saw benefit of the bundles and the digital strategy to put subscription revenue up so much, so yes we definitely saw a difference in TV and newspapers, but a lot of it has to do with classified and also the size of the market.
Barry Lucas - Gabelli & Company: Okay. Rich you have touched on regional variances and indicated earlier on that you had a number of markets that were up. So would that be the same your larger markets better than smaller and anything in particular on that real estate side which seems to be potentially in Florida?
Rich Boehne: Yes. The real help on the real estate side is definitely in Florida and Naples has really bounced back nicely. There are cranes and bulldozers again all over (call your) county which looks really good. There are some regional differences, but it will be hard to look at our footprint and say any one region is doing better than the other, but obviously the Southeast always continues to have pretty good growth.
Barry Lucas - Gabelli & Company: Okay, last one on the print side at least from me is number of people talked about the Easter impact and generally think that it’s has a lot – less of an effect these days, but to the extent that it did have an effect does that say something better about the prospects for 2Q?
Rich Boehne: Yes. So I can tell you a lot of people here used a lot of brain cells – burned up a lot of brain cells recently trying to figure out the precise Easter effect, I would say the bottom line is, yes it was positive for the second but trying to put a number to it is very difficult to do, but yes you are right, it did help the second quarter and April.
Barry Lucas - Gabelli & Company: Okay. And then just switching gears over to Brian, you covered most of the retrans stuff, but maybe higher level Brian when you think about what’s coming out of commission, there has been some noise the NAD maybe looking at legal alternatives, why you think needs to happen to really clarify the rules a little bit more shall we say or maybe turn the ship a bit in Washington?
Brian Lawlor: You are talking about on JSAs Barry?
Barry Lucas - Gabelli & Company: Well, in general, the climate around the 84 seems to be a little dark?
Brian Lawlor: Yes, look I don’t think it’s overly favorable to broadcast those right now. And look I think there is a lot of positive opportunity for broadcasters to be able to serve our communities better. We have got technologies that we are building with mobile and other things that make us more viable as public servants. And I guess we wish we got a little bit more credit for that. This is a tough business, and if we take our FCC licenses seriously it means that we have to hire resources to be able to cover our communities to provide weather services that can keep people safe and provide news coverage that keeps people informed. And so in some of those small markets, these are economically challenged markets and you found the markets, where there is $20 million growth of total revenue in a market, it’s pretty hard for a single station to go and get any sort of return on that. And we need to make money in order to invest it to be able to serve the people. And so I think we have seen a high level of frustration that look at some of the big merger deals that are done on a higher level. And it seems that some of those big companies can get a lot of power that crosses over beyond even just broadcasting in cable and interconnect and other things. And it’s frustrating that we have to negotiate against some of these people have immense power in cloud and can capture 50% of all the rating points in a market across all the various businesses, but local broadcasters can put to television stations together to turn any kind of profit. So, clearly, broadcasters are frustrated. I think that the commission is very focused on preparing for a successful auction. And I am not sure the bulk of our interest is necessarily aligned at this point. So, I don’t want to speak for the NAB. They will figure out what the right recourse is, but I know the power of what we do. I believe absolutely everyday we make our communities better and our people are safer and more informed because of the financial investment Scripps makes in our markets. And I think we are a little bit lucky not to be in some of the smaller markets, but I know lot of our brethren that we respect the heck out of have major commitments in those kinds of markets. And I don’t envy the economic challenges they have.
Barry Lucas - Gabelli & Company: Very well put. I feel like this is sort of an anti-climax, but just going back to political for a second, you came in a little bit better than your thought largely due to 13 congressional district, but you also have a very big, what’s shaping up to be a very big gubernatorial race in Florida and you don’t seem too terribly willing to bump that political number just yet. What would move you in a higher or lower direction?
Brian Lawlor: Barry, it’s not just the one race. I mean, we will look at the entire portfolio. And I think we have expertise from political that exceeds many others. We really watch every race to look at, but we miss up the race and we have a metric that we look at – that within a certain number of points, we know when they are going to keep spending and they are going to get support from outside parties. And so as soon as it goes out, it would be – once the gap between two candidates goes beyond mid single-digits, that money moves out of a market and goes to other markets and other races. And so look we got six races, three, that we think are going to be very competitive. We have got 10 gubernatorial. We probably got about three there. You mentioned Florida we think obviously that Florida will be great. And then we got some pretty good house races four or five, they are really toss ups as well. So, we watch all of those closely and look it’s possible that we could wind up raising our political estimates as we go through the year. By the same token that’s possible that one or two of those races go beyond 6 or 7 points in margin if something drops off. And if you look at a big Florida, Michigan or Ohio gubernatorial and suddenly the distance gets little wide and that money will move to other states, where same thing with the Senate, you get a lot of important Senate races around the country right now. In fact, some of the second quarter spending is happening in states like Texas and really not a lot supporting our races. Although at the end of the day, within the Colorado, Michigan, and Kentucky, we are going to be heavily funded. So, I think we are staying close to it. And as we get more clarity and as we go through the process, we will certainly be transparent with all of you at a point that we feel comfortable changing a number, we will share that with you.
Barry Lucas - Gabelli & Company: Great, thanks very much for the color, Brian.
Operator: And our next question comes from Edward Atorino [Benchmark]. Please go ahead.
Edward Atorino - Benchamark: That’s close, Atorino. You mentioned the word mobile a couple of times, the NAB thinks this is going to be the year from Television to get big in the mobile sector in terms of advertising. Some of the broadcasters don’t seem to share that view and mobile has been a gigantic growth category, but not the television. And yet it’s the FCC or the NAB a couple of years ago made a big push on mobile advertising and nothing is happening. Do you see any growth in mobile? Is it becoming a significant amount of money in any markets?
Brian Lawlor: Ed, it’s Brian. The audience growth and usage on mobile is exceeding the investment that’s going on relative to ad spending in mobile at this point.
Edward Atorino - Benchamark: Yes, I know. Why?
Brian Lawlor: It depends. So what I can tell you and I will throw it to Adam is we are investing heavily in building mobile operations and products that will allow us to monetize that. It’s not unusual for trends to have the B audience get ahead of the advertiser. Our mobile growth continues to be huge numbers on a percentage basis. It’s just not yet a big number and that’s consistent with the audience we have. And we look at mobile in a couple of different ways. Obviously, the mobile that we work with and announce through NAB that comes off of our television antenna is just one part of our mobile strategy and we have multiple strategies there. And maybe Adam you can touch on that?
Adam Symson: Yes. I mean, I think the other thing that we have to sort of realize is that the economics generally follow all sort of a consolidation of the measurement. And I think right now both digital and broadcasting everybody is sort of trying to figure out what kind of measurement of the mobile audience is going to end up winning out. So, here at Scripps we are actually actively investing to make sure that when sort of that fragmented marketplace sorts itself out. We are properly aligned from a product perspective, from a technology perspective, so that we can maximize the opportunity whether the mobile we end up talking about ends up being the mobile that comes off of our tower with mobile DTV or is that mobile ends up being be very aggressive mobile live streaming and mobile on-demand products that we have in all of our markets. Today, we are seeing north of 50% to 60% of our audience consuming our content through mobile. And we have got very, very aggressive plans in the market to monetize that. We are just at that mode, especially in the local marketplace, where small and medium advertisers, they generally sort of in the last to recognize the opportunity. And mobile is at the very bottom of the purchase funnel. So, we are bringing that to our advertisers and we expect to see that to continue to grow aggressively over the next quarters to years.
Edward Atorino - Benchamark: Are you talking about meaningful dollars so far or sort of small change?
Brian Lawlor: I would say it’s somewhere between small change and meaningful dollars. It’s just – it’s very immature at this point.
Edward Atorino - Benchamark: Yes, I am going to leave the floor. We can talk some other time. Thanks.
Brian Lawlor: Sure.
Operator: Our next question is from Michael Kupinski with Noble Financial. Please go ahead.
Michael Kupinski - Noble Financial: Thanks for taking the follow up. I am just wondering if you can chat a little bit about the M&A environment in particular, I think Rich in the past you’ve said that you have several plates spinning in the air? And I was just wondering if those plates are just kind of wobbling right now given the FCC issues and the prospect of the spectrum options or if there is still a pretty active M&A environment out there?
Rich Boehne: It’s Rich. There is still a very active market and we are pursuing a number of them, as Brian said focused first on fund consolidating in markets where we already do business. And frankly, we like this kind of environment. We like really chaotic environments, where you can find good opportunities and good valuations. And the other thing as you know is we have talked a lot about we are not in this to try to play expensive defense. We don’t feel any pressure to be dramatically larger than we are today. We don’t think it’s – we are threatened in anyway. So, this is a good confusing chaotic environment for people like us to pickup some stations at very good values. And so yes, we still have some plates spinning.
Michael Kupinski - Noble Financial: When I talk to several other private broadcasters and they indicated to me that there is they are getting a lot of calls with companies that we are involved in JSAs and so forth. Are you seeing any listing of activity as it relates to these type of JSA situations or is that playing into your hands so to speak? Can you give us some thoughts about that?
Rich Boehne: Yes, I will let Brian touch on it.
Brian Lawlor: Yes, I definitely think there is conversations going on in the industry, Mike about that. I mean, the SEC was pretty clear in their ruling. They gave a defined timeline of two years. And so people have to react to that and sort that out. Obviously, some people will apply for waivers, but the timeline for that is undefined as well. And so I think that leaves people nervous. A couple of things I would just say, number one this week or last week I guess we got approval from the FCC to Detroit and Buffalo deal, so that tells you that if you bring the FCC a clean deal without any of these JSA things that – and where you are cleared on to our place and so forth that you can get through the FCC in a relatively efficient time. And I think that was the case. The other thing that probably favors us over others is our footprint even after we close on Buffalo next week we are only in 15 markets and so 14% of the country, but only 15 markets. And so it gives us a ton a running room. I mean, so if we look at some of these stations that are on the market relative to JSAs or other things, we can play in a whole lot of markets without any friction relative to FCC rules. And so I think that provides an opportunity for us if we were to identify some of these markets where we think they fit our strategic acquisition strategy and there is enough revenue in the market to make a good go at it for the long-haul.
Michael Kupinski - Noble Financial: Right, thank you guys.
Operator: And there are no further questions in queue.
Carolyn Micheli - Head, Investor Relations: Anna, thank you very much. Thank you everyone for joining us today. Have a good day.